Daniel Fairclough - ArcelorMittal SA: Good afternoon, everybody. This is Daniel Fairclough from the ArcelorMittal Investor Relations team. Thank you very much for joining us on this call today to discuss the First Half 2018 Results. At this stage, I'd like to inform everyone that this conference call is being recorded and this morning, alongside the results, we published a presentation with detailed speaker notes together with our Q&A document. So hopefully you've all had a good chance to review these documents, as our intention today is to have some brief remarks from Mr. Mittal and then move directly to your questions. So with that, I will hand over to Mr. Mittal for his introductory remarks.
Lakshmi Niwas Mittal - ArcelorMittal SA: Thank you, Daniel. Good day, everyone. Thank you for joining to this call to discuss ArcelorMittal's results and strategic progress achieved in the first half 2018. I'm joined today by Adit Mittal President, CFO and CEO of our European segment, Simon Wandke; our Mining segment CEO, Genuino, our Head of Finance and Daniel, Head of Investor Relations. I want to start my remarks by commenting on our health and safety performance. Our lost-time injury frequency rate for the first half of 2018 showed a 14% improvement on the corresponding period last year, and our rate is considerably below the World Steel Association average of 1 time. Nevertheless, we continue to prioritize further reducing the rate with a specific focus on eradicating serious injuries and eliminating fatalities. Our improved financial results best since 2011 have been primarily driven by two aspects. Firstly, the ongoing progress we are making with our Action 2020 strategic plan which is delivering sustainable structural improvement across our business. Secondly, improved global steel demand and steel industry reform. There has been significant supply side rationalization over the past two years, which has led to a higher industry capacity utilization rates and higher steel spreads. Nevertheless, the steel industry, overcapacity is still a challenge that needs to be fully addressed. Turning to our balance sheet, I'm pleased that we have achieved our financial priority of an investment grade credit rating, following the upgrades from all three rating agencies this year. Achieving this reflects the significant progress we have made in strengthening our balance sheet and improving our financial results in recent years. Looking ahead to the second half of the year, the signs are positive. Steel demand is growing in each of our core markets and we have today revised our 2018 apparent steel consumption forecast upwards by 0.5% for the U.S. and 1 percentage point for Europe. Our order books which provide us with good visibility are strong and customer inventory levels are at or below normal levels. Supply side reform and supportive actions against unfair trade provides further support. I'm also confident that we will continue to make progress with our own strategic growth initiatives. In addition to Action 2020, we have several organic and acquisitive growth projects, including our $1 billion Mexican CapEx project, restart of our cold rolling mill and galvanizing expansion in Brazil, the recent acquisition of Votorantim in Brazil and our ongoing acquisition of Ilva. These are all exciting opportunities that will help us to deliver further sustainable long-term value creation. Thank you. Now we are happy to take questions.
Daniel Fairclough - ArcelorMittal SA: Thanks Mr. Mittal. And so we will take the first question please from Mike Shillaker at Credit Suisse.
Michael Shillaker - Credit Suisse Securities Sociedad de Valores SA: Thanks, Daniel. Two questions. And if I may, firstly on Ilva, could we get some sense of your intentions? And what is this risk that you are going to have to do a materially weaker deal from the ones that was initially approved, is there a point when you're simply just prepared to walk away? Another kind of more technical issue, how long can the Italian government continue to run the asset, is there any limit in relation to EU anti-subsidy or similar legislation, which imposes a time limit on running the assets? And could if they wanted to within that context literally open the process up to a whole new sales process, is my first question? And then my second question I found your outlook (00:05:33) really interesting, because it does suggest the robust H2, but you also noted stronger comment that you believe that underlying industry fundamentals are sustainable. (00:05:54) of EBITDA right now, we can argue that the equity is pricing in something like 6.5% to 7% EBITDA, which is quite a difference. So, can you give us your big picture view on global steel fundamentals? I know you've touched on some of them right now, including supply side discipline and something like that. How do you feel about the cycle in a big picture view in terms of the sustainability and why do you think the cycle is more sustainable than perhaps it was in the previous few years? Thank you very much.
Aditya Mittal - ArcelorMittal SA: Okay, Mike. Sorry, there is a lot of echo here. Yeah. Michael, thank you for your question. So let's talk about Ilva first. So (00:06:30) for the last five years, so we believe we have a lot to offer to this asset in terms of our turnaround capability, environmental and social capabilities as well. In terms of walkaway, I mean, there's a binding agreement in place, the binding agreement is valid. The company has certain funds today, but our understanding is that those funds have a time limit and governed by confidentiality, so I don't want to be precise, but I don't believe those funds have that much of mileage or runway. And once those funds run out, you're absolutely right, the government would have to go to Parliament to ask for more money and that could trigger a whole question on state aid and subsidies which as you know in the steel industry in Europe is not allowed. I don't think the timeframe allows them to reopen the process, I think the discussion is really on whether you close the asset or whether you fund (00:07:44) ArcelorMittal as the new owner. In terms of our capabilities and what is being discussed , I think the issues that have been discussed are in terms of environmental. The new government in Italy clearly wants a stronger environmental time, we estimated a stronger environmental time, which has been discussed with key stakeholders and clearly they want an union agreement which was never achieved, so that is still a pending item and we expect to make progress on that during August/September. In terms of bid values and stuff like that, the global steel industry has improved as you can see in our results, but we should also recognize that Ilva's profitability has not improved significantly, actually has not changed. It's losing money like it was in the past, actually all of our shipments are declining. So clearly the attractiveness of that asset has not really changed and our plan to improve it industrially, socially and environmentally is our strong belief, the best one available and we really allow Ilva to be repositioned as Europe's premier steel facility. In terms of global steel market, I think, a lot of the factors are captured in our presentation and our commentary, but I will just walk you through some of them. I think let's begin with the supply side of things. So there has been supply reform. The supply reform is evidenced most pronounced in China, where there has been a structural reduction of capacity and as a result you see demand/supply balance is much better, capacity utilization is much higher. That's structural, that capacity is not coming back. On top of it, China has announced Blue-Sky scenario or Blue Sky planning, which implies that the Chinese steel industry have to dramatically reduce their SOx NOx and dust emissions, which means more CapEx and more OpEx for Chinese facilities, but also means that some of the winter closures that have been impacting the Chinese steel industry could last a bit longer because the Blue-Sky scenarios or a Blue-Sky plan implies that you can't really operate some of these facilities which have much higher SOx NOx or dust emissions. So the supply story is good in China. Obviously, the story is not complete, because they're still exporting steel and there's still some market distorting impacts and therefore trade action is relevant on a global basis. So then let's just move on to trade. I think we have structural trade measures in place which have not exist in the past. I'm not talking about structural, I'm talking about anti-dumping and anti-subsidy cases. So that was a story of 2017 and summer 2018. So this applies to our European business, it applies to our U.S. business, certain actions have also been taken in other geographies. More recently, we have seen 232 in the U.S. as well as safeguarding actions in Europe. 232 and safeguarding, again question the timing and how long they would last. But the anti-dumping measures and anti-subsidy measures typically last five years and typically get extended by another five years. So it's another structural shift or change in the global steel industry. The first thing is demand patterns right. So, we're now seeing demand pick up in our core markets, so this is Brazil, CIS, but also in Europe, and clearly as a company, we're well-positioned to cater to that, NAFTA continues to grow. So the demand pattern remains promising and we don't see a significant change in the demand outlook into the medium term. And I think the last thing that changes or the last thing which is structural is ArcelorMittal. This is the improvements we have made as a company in terms of our footprint, whether it is Europe or North America. The improvements we're doing in Brazil, the improvements we've made in the ACIS business, the cost reductions that are taken place in our mining business and I can go on and on and on, but you get a flavor of that. And along with the industrial improvements we have made is strengthening of our financial position. I think we have the strongest balance sheet since merger, our net interest costs are now $600 million per annum. So clearly all of those factors support the changed environment that we're seeing today.
Michael Shillaker - Credit Suisse Securities Sociedad de Valores SA: Okay. Thank you. So I have just a quick follow-up. On H2, given the guidance that you gave, is it reasonable to assume that we would expect H2 normal seasonality versus H1 run rate or would you given some pricing (00:12:54) actually suggest that that it could be better than just normal seasonality in the second half versus first half?
Aditya Mittal - ArcelorMittal SA: So Michael, I won't give a precise guidance. So I will talk about some of the effects. So the seasonality is normal in terms of volumes. So I think they will be less pronounced, the seasonality in terms of volumes will be less pronounced even in Europe. Primarily because in Europe in the second quarter, we did not perform or ship as much steel due to flooding in Asturias or in Spain as well as the railway strikes that occurred in France. So there's some catch up of shipments that are occurring in the second half and that's why the seasonality is less pronounced. Rest of the market seasonality is similar. There will be some catch up of shipments in Ukraine as we suffered in the first half of this year. Apart from that there is some lag effect that we should see in our NAFTA business, positive lag effect as you know 232 started in the second quarter, but the full impact has not yet hit our results, so this is the just the quarterly contracts, this is just the fact that we have long lead times, so some of that lag effect will hit the quarter. The other lag that is embedded in 232 which is not really a second half phenomena, but more a going forward phenomena is our contract business, right. So automotive as you know is an annual business and automotive contracts have not yet reset.
Michael Shillaker - Credit Suisse Securities Sociedad de Valores SA: Okay. All right. Very clear answer. Thank you very much.
Daniel Fairclough - ArcelorMittal SA: Great. Thanks, Mike. So we'll move to the next question from Alain at Morgan Stanley.
Alain Gabriel - Morgan Stanley & Co. International Plc: Yes. Good afternoon, gentlemen. My first question is basically a follow-up on the previous question is on the issue that you have faced during Q2. Clearly your EBITDA include some negative (00:14:44) on the flooding in Spain, the strike in France and some operating issues and challenges in Ukraine. Are you able to (00:14:50) bit numbers behind those issues just to be able to quantify the financial impact, so that we can reassess the upside in H2? And the second question is on working capital, you've invested $3.1 billion year-to-date, if prices stay on the current levels, how much do you think is a realistic release into H2, without being too precise, I guess, if you can give us a range that will be very helpful? Thank you.
Aditya Mittal - ArcelorMittal SA: Sure. So in terms of Europe, roughly the impact is about 200,000 tonnes. You have a forecast or you can estimate the profitability and the fixed cost impact of that on our tonnage and come with a numerical number. In Ukraine, the number is larger, it's about 600,000 tonnes to 800,000 tonnes, but not all of it will be recovered in the second half. Some of those operational issues are going to impact shipments into the second half. But some of it should come back. And in Ukraine, the profitability including the fixed cost contribution is not as high as in Europe. So you can take a smaller number in terms of the contribution per tonne and then you get a fair assessment of what happened in the second quarter. In terms of working capital, look if market conditions remain stable then I expect working capital to be stable as well. So I don't expect overall a release in the second half versus the first half. There could be investment in Q3 and some release in Q4. So quarterly variances, but not on a half yearly basis.
Alain Gabriel - Morgan Stanley & Co. International Plc: Thank you. Very clear.
Daniel Fairclough - ArcelorMittal SA: Thanks Alain. So we move to the next question from Ioannis at Macquarie.
Ioannis Masvoulas - Macquarie Capital (Europe) Ltd.: Good afternoon, gentlemen. Just a few questions from my side. First on Essar Steel and my question here is twofold. We've seen a fairly high transaction multiples for some of the other Indian assets. Given your strong balance sheet and expansion potential of Essar Steel, would you consider raising your initial bid materially to win the asset? And within that question, I believe that the slow pipelines, which are a key element of the iron ore sourcing strategy are majority owned by a third-party. Is your bid predicated on taking full ownership of the pipelines? And the second question is on Brazil, which was particularly strong in Q2 and I would like to ask for some visibility on the Q2 versus Q3 bridge. That would be very useful, because if volumes will probably stay strong and Voto is sequentially better, but is there a reason to expect that you may get some price cost pressure in Q3 that would potentially offset the positive benefits from Votorantim demand shipments? Thank you.
Aditya Mittal - ArcelorMittal SA: So, thank you for your question. As you know Essar is a live situation, so I think at this point in time to speculate on what we may or may not do is not appropriate. I think ArcelorMittal will pay fair value. Clearly we have a lot of experience. We bring a lot to the table. We have done this before, and we know how to balance growth as well as shareholder value creation. In terms of the slurry pipeline, this is not the only slurry pipeline, there are two actually, one in Vizag, one in Paradip, but it is not as clear as you have mentioned. I think there still is a dispute whether the ownership is actually owned by a third-party or owned by Essar Steel. So as it's a legal matter, I will not get into further detail, but clearly we are cognizant of the opportunities and risks associated with the slurry pipeline. In terms of Brazil, Q2 to Q3, I mean first of all Q2 is good performance, it's not primarily because of Voto, actually Voto contribution is almost nil in our second quarter performance. Voto contribution will actually hit in the fourth quarter. And Q2 to Q3, I think the trends we have seen in the second quarter should continue to the third quarter.
Ioannis Masvoulas - Macquarie Capital (Europe) Ltd.: Okay. Thanks very much. And maybe a quick follow-up. Just looking at your business and your growth strategy, assuming everything goes ahead with you and Essar Steel, would you consider additional M&A in the next one to two years, or would you rather focus on turning around to those newly acquired assets and further reducing your gearing?
Aditya Mittal - ArcelorMittal SA: So look, we are very focused on continuing to deleverage and to the extent that we can grow and continue to deleverage that remains our stated strategy. I think apart from Ilva and Essar, I think the interesting announcement we have made this morning is also our expansion of our cold-rolling mill complex in Brazil. This is bigger (00:20:07). So, we are seeing demand growth come back, especially in automotive and other segments of the Brazilian market, and hence are growing our finishing capacity by 700,000 tonnes. This is primarily galvanized, but there is also some cold-rolled growth as well.
Ioannis Masvoulas - Macquarie Capital (Europe) Ltd.: Thanks very much.
Daniel Fairclough - ArcelorMittal SA: Thanks, Ioannis. So, we'll take the next question please from Seth of Jefferies.
Seth Rosenfeld - Jefferies International Ltd.: Good afternoon. A couple of questions on the U.S. business please, in particular to better understand Calvert in the current environment. Given that this is a JV equity accounted, can you just remind us how we should consider the role of Calvert in (00:20:46), in particular with regards to the slab supply contract, how we should expect this business to be positioned going forward? Secondly, on Calvert, can you just walk us through from a slab supply side, what the impact is the Section 232 tariff against Mexico, and whether are you able to pass on some of that costs for your JV partner? And then lastly, utilization rate of 88% I think was reported. That seems a bit low I suppose for slab converter in the U.S. given how strong the market is. Is there further upside for Calvert volumes into H2? Thank you.
Aditya Mittal - ArcelorMittal SA: Okay. So, let's talk about the big picture on Calvert and then try and narrow it down and begin to answer some of your questions. So, Calvert roughly buys about 4 million tonnes of slabs, 1 million tonne comes from Ternium in Brazil, which is an HRC linked pricing, so that pricing completely reflects its HRC prices in the U.S. minus a certain dollar amount and so it completely reflects the changes in the U.S. marketplace. We also supply slabs coming in from our U.S. facilities. And the rest of these slabs come from our other Brazilian facility, which also has a quota-arrangement with Calvert. And for our Mexican slabs, we do partially (00:22:19) based transaction, where we buy the slabs but then we export the hot band into Mexico. All those costs and gains accrue to ArcelorMittal, right. So Nippon Steel is an equity partner, they get an equity rate of return based on the utilization rate of Calvert. So the rest of the games that you see in Calvert are some of it is also captured in our Mexican business, as they get higher pricing for the slabs and some of it is captured in our Brazilian business as well. The rest of the games are embedded in the NAFTA EBITDA of Calvert. In terms of the utilization rate, you're right. Q2 was slightly lower (00:23:00) first half perhaps you're looking at a lower number, but this has to do with the six-day planned outage that we had and in Q3 our utilization rate or into the second half should improve. And when we look at the utilization rates, this is a hot strip mill utilization rate, so this doesn't mean that the galvanizing lines and stuff like that are not running full, but to get utilization rates and hot strip mill at 100% that's unheard of. So that's perhaps the way we report utilization rates versus the actual reality of what is happening to that finishing facility. So I think I answered. Yeah. So that's on Calvert. Thank you.
Seth Rosenfeld - Jefferies International Ltd.: That's great. If I can ask just one follow-up question with regard to the U.S. business. I think you touched on earlier having strong visibility with your order backlog, but given the current strength of U.S. steel prices, can you just give us any soft commentary on what you're hearing from your customers in response to high prices? Is sticker shock beginning to weigh on apparent demand? Are you seeing any resumption of import competition for spot sales in the U.S.? What should we expect status quo going into H2?
Aditya Mittal - ArcelorMittal SA: So if you look at the apparent steel demand in the U.S., we're not seeing any change into the second half. I mean demand elasticity is quite high normally in the steel business. Clearly on the medium-term, there should be a normalization of that, as some suppliers brought on in the U.S. steel industry, and there could be certain exemptions granted for Canada and Mexico. So I think there will be normalization which would reflect a more reasonable margin for the U.S. steel industry, reflecting their cost position. So at this point in time in terms of what we're seeing in terms of the ground reality, apparent steel demand is good, and we're able to pass on the price increases in our U.S. business.
Seth Rosenfeld - Jefferies International Ltd.: Great. Thank you.
Daniel Fairclough - ArcelorMittal SA: Yeah. (00:25:02).
Seth Rosenfeld - Jefferies International Ltd.: Yeah. Thank you very much.
Daniel Fairclough - ArcelorMittal SA: Thanks, Seth. So we'll move to the next question for Rochus at Kepler. Please.
Rochus Brauneiser - Kepler Cheuvreux SA (Germany): Yes, hi there. Yeah, most of my questions are answered already. Just small things. The one is in Brazil, in your flat business, that was just 6%, 7% up quarter-on-quarter in the second quarter after this density related decline of nearly 30% in the first quarter. So I was just wondering whether this recovery wasn't more pronounced and shall we expect this to fully recurred in the third quarter, maybe you can shed a bit more light on that one. The other question is regarding the sale of 50% stake in Macsteel, when are you expecting to book the currency gain, and when you expect the cash flow from that?
Aditya Mittal - ArcelorMittal SA: So in terms of Macsteel, it's a second half event, it could be Q3, Q4 and exactly when the cash arrives is when we would book the currency gain. So I'd not necessarily factor it into Q3, I think it could be Q4, perhaps it happens earlier, but Q4 is a realistic target. In terms of results, some of the recovery you should see into the second half. So there has been no impairment in our ability to produce steel there.
Rochus Brauneiser - Kepler Cheuvreux SA (Germany): Okay. And I think the comments you made on the volume loss in the second quarter the amount of 600,000 tonnes to 800,000 tonnes, was that a quarterly figure or the first half figure?
Aditya Mittal - ArcelorMittal SA: Yeah, that's a first half number.
Rochus Brauneiser - Kepler Cheuvreux SA (Germany): Okay. And the 200,000 tonnes Europe is the quarter?
Aditya Mittal - ArcelorMittal SA: That's right.
Rochus Brauneiser - Kepler Cheuvreux SA (Germany): Okay. Cool. Thank you very much. Thanks for clarification.
Aditya Mittal - ArcelorMittal SA: Sure.
Daniel Fairclough - ArcelorMittal SA: Thanks, Rochus. So we'll move to next question from Cedar at Merrill Lynch.
Cedar Ekblom - Bank of America Merrill Lynch: Thanks very much. Hi, guys. I just got a question on realized pricing in Brazil. I see in the quarter that your gap on your realized price versus the benchmark price opened up a little bit and I assume that's because both of those more exposed to the export market, and so generally realizing a lower cost per tonne. I just wanted to understand going into the third quarter, should we expect an incremental increase in your difference between realized pricing and benchmark domestic pricing or would you say that the gap has opened up in Q2 and going forward, there is no potential deterioration mix essentially with more export tonnes? Thank you.
Aditya Mittal - ArcelorMittal SA: So I don't really have the number, Cedar, we can come back. I don't see any structural change. So I would think that to the extent that we are exporting more into future that phenomena will continue into the second half till we see a more pronounced recovery in the flat business in Brazil. So the recovery that we have seen into Q2 continues, we're producing more and also we're getting better pricing for export market such as slabs into the U.S. So I would not forecast any change of that nature into Q3, Q4.
Cedar Ekblom - Bank of America Merrill Lynch: Okay. And then a follow-up question on tax, can you just give us a bit of color on the difference between cash taxes and income taxes for the full-year? I see you had a big deferred tax asset coming through in Q2, but obviously that's not filtering to into your cash tax costs? Thanks.
Aditya Mittal - ArcelorMittal SA: So Cedar, I think another way to look at it is to just focus on our current tax, which will provide you with roughly what is our cash taxes. And if you would see our guidance, we have increased our cash taxes for the year by $300 million, that's assuming that our cash tax rate is about 15%, that's the previous guidance we have provided you. And the reason why we come up with $300 million, I'm preempting the next question which is that just based on the consensuses EBITDA change for 2018 versus what it was at the beginning of the year.
Cedar Ekblom - Bank of America Merrill Lynch: Perfect. Thank you.
Daniel Fairclough - ArcelorMittal SA: Great. Thanks, Cedar. So we move to Bastian at Deutsche Bank.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Hi, good afternoon, gentlemen, I had just one last question, last and that one is on the sale of the Ilva remedy asset. Without giving any details, are you certainly happy with the level of interest you're seeing as far as with the quality of the bids and also can you give us maybe a bit of color on how the process actually works, i.e., just a scenario where you may have to sell the assets, but the Ilva deal could potentially fall apart? Thank you.
Aditya Mittal - ArcelorMittal SA: So thanks for the question. Yes, there's good interest in all assets. So we see that we have three packages, one is our Western European downstream cold-rolled and galve assets. The other is Ostrava, the third is Galați in Romania. And for all three packages, we see a lot of interest and that process is moving along nicely. I mean, short answer, no, Ilva no remedy. So if there is Ilva transaction which we expect to close and we expect to do the remedies. But in the unlikely event that we don't succeed in Ilva, clearly there would be no remedies.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Okay. So it's a conditional sale process?
Daniel Fairclough - ArcelorMittal SA: I'm sorry, we didn't hear that, just speak up again please?
Bastian Synagowitz - Deutsche Bank (Suisse) SA: So, (00:31:01) the only business you need to sell when – if the Ilva deal goes ahead?
Aditya Mittal - ArcelorMittal SA: Yeah, exactly. It would be conditional on the Ilva deal closing.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Okay. Very clear. Thank you.
Daniel Fairclough - ArcelorMittal SA: Great. Thanks, Bastian. So we'll move to Christian at SocGen.
Christian Georges - Société Générale SA (UK): Yes, thank you. Good afternoon. I only have one question. I think you're highlighting that you are looking at increasing shareholder returns when you reach your net debt target of $6 billion. I think in the statement you highlighted you now have investment grade on all the three main credit agencies and you're looking at favorable outlook for the sector. When it comes to the end of the year or early next year when you go to make a judgment on dividend payments, (00:31:57) $6 billion net debt need to be achieved or will you make a judgment on the outlook for the subsequent quarters to make a judgment on whether or not the dividend increases?
Aditya Mittal - ArcelorMittal SA: So thank you for the question. Look our stated policy is very clear that we arrive at net debt of $6 billion and then we should have a material increase and returns to shareholders. And the reason why the $6 billion is important and it's nice to see that all the rating agencies have upgraded us, but the reason why the $6 billion is important just because that demonstrates that we would have an investment rating through the cycle, because what it achieves is that our net debt matches trough EBITDA, so at any point in the cycle we would not expect net debt to EBITDA to be in excess of one-time. And that's why the $6 billion number becomes an absolute target. Clearly, these discussions we have at the board on an annual basis and we will have discussions with the board as well. But I think it is safe to expect that dividends would materially increase only when we achieve the $6 billion net debt target.
Christian Georges - Société Générale SA (UK): Okay. Thank you.
Aditya Mittal - ArcelorMittal SA: Great. Thanks Christian. So we'll move to Phil Gibbs at KeyBanc please.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Hey, thanks for taking my questions. First question was just on the pricing in Europe, it looked to hold up really well sequentially, which defied what we saw at least in the Northern European spot market. Was there any contract resets in the quarter maybe 6 or 12 month deals that help to hold that pricing realization up versus the first quarter?
Aditya Mittal - ArcelorMittal SA: No, no significant contract resets in Q2. So we believe this reflects the market reality.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Okay. So you think there's more stable pricing in the European markets than the indexes would show?
Aditya Mittal - ArcelorMittal SA: Yeah, I mean our results reflect that. Yeah. So there's no change in terms of the contract being reset in the second quarter. There could be some changes in terms of exports versus reorientation into the domestic markets. But our Europe (00:34:28) prices are up quarter-on-quarter.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thank you. And then just in terms of the follow-up, when I think about Dofasco and your NAFTA business, I know a lot of the Dofasco tonnes going to the U.S. and some of them in the automotive market and how are you thinking about the business in the short term, just with the tariffs into the U.S. from Canada? And how are your customers – how are you dealing with those situations with your customers?
Aditya Mittal - ArcelorMittal SA: So our Canadian business, Dofasco is respecting our automotive contracts. So I mean, I know I'm not fully answering your question, but I think that's inappropriate remark for me to make and to get into more details is inappropriate.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Thank you.
Daniel Fairclough - ArcelorMittal SA: Right. Thanks, Phil. So we'll move to Luc at Exane, please.
Luc Pez - Exane SA: Hi, gentleman. Two questions left. So first of all, with regards to the conditions in the U.S. market, can you discuss a bit more the spreads and do your comments with regards to the healthiness of the spread also do apply to the U.S.? And I'm particularly looking at HRC spread or lack of spread, which are related to more premium products in the U.S. market or do you just stay sustainable over H2 over time? That would be my first question.
Aditya Mittal - ArcelorMittal SA: Yeah. So in terms of the spread environment, market environment, demand environment, our comments apply to the North American market, including the U.S. as well. The price change in HR is clearly greater than the price change in cold-roll and galves. That's just a function of demand/supply balance and the way that the 25% impacts more of the downstream products. You see, what you have to appreciate is that the margins in the U.S. for downstream products were higher than the global margin for downstream product. So you see some of that correct itself based on how the 25% duties impact those product ranges.
Luc Pez - Exane SA: Okay. Second question would be related to the Europe and safeguard, some of your peers, I mean some of the reaction of your peers have been pretty contrasted, some saying that the provisional safeguards and the TRQ system would be efficient (00:37:00) import pressure in H2, some of your peers being less let's say optimistic and seeing risk from training, sorry. What is your view towards that and what would you wish for the definitive measures to be enforced? Thank you.
Aditya Mittal - ArcelorMittal SA: So not to make a joke out of it, but I think our peers are right. So the glass is half full. I think clearly getting safeguard is important, because otherwise the risk of a surge of imports into Europe is prevalent, as exports from Europe – the U.S. could get redirected to the European marketplace. So getting safeguard duties was critical, it's very good news, that it has been achieved, it's provisional today, it needs to be final. Already you saw that in the first half of this year, imports were trending higher than the first half of last year. So in that sense, absolutely right. Clearly, the fact that it's a 200-day provisional measure and that there's no monthly or quarterly limit can create the risk that you have a surge for a temporary period in this 200-day period and that risk is present. Today we've not seen that risk manifest itself, but that risk is present. So I mean – but still overall the glass is half full. It's an excellent development in Europe (00:38:29) safeguard provisional measures put in place, but we clearly need to be focused on achieving final measures.
Luc Pez - Exane SA: Thank you.
Daniel Fairclough - ArcelorMittal SA: Thanks, Lee. And so I think we've addressed most people's questions, so we're going to have the opportunity now just to circle back with Bastian, Deutsche Bank.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Hi. Yeah, sorry, just one quick follow-up. Just on the outlook which you've been providing for the next quarters. So if you just go through the different businesses where we have less volume seasonality in Europe, but other contracts are also probably recovered a little bit, but very high spot margin then we're probably going to get some improvement from Brazil, because of (00:39:06) you mentioned the positive (00:39:09) NAFTA and then ACIS slowly recovering part of the volume loss. Is there anything else on the negative side, which we are missing here, because I guess, just staying all of that up kind of struggle to see what other than the seasonality in Europe should be driving any sequential weakness in the third quarter?
Aditya Mittal - ArcelorMittal SA: So I appreciate the question, but I don't want to get into so much of detail on quarterly performance. I'm happy to talk about some of the impacts we're seeing in the first half of this year versus the second half. So just to recap, I think you captured everything. Europe seasonally will have lower volumes in the second half. I did not really understand your comment on automotive into Europe. Normally the automotive contracts are a Q4 event which will impact 2019. So in terms of automotive both in Europe and in NAFTA, we don't see the impact. In terms of NAFTA, we do see some spot market like benefits into Q3 and Voto is a Q4 event. ACIS, yes, there's some recovery in terms of volumes, so the rest of the – so those are my remarks or highlights for first half versus second half.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Okay. Thank you. Sorry, I thought you had some auto contracts in Europe as well which would rollover at the beginning of July, but sorry I'm wrong there.
Aditya Mittal - ArcelorMittal SA: No, if they rollover, how does it change EBITDA, that's what I do not appreciate maybe. So anyway enough said on this topic. Thank you.
Bastian Synagowitz - Deutsche Bank (Suisse) SA: Okay. Thank you.
Daniel Fairclough - ArcelorMittal SA: Thanks. So we have one more question Mr. Mittal, which is from Francisco at Banco de Sabadell.
Francisco Rodríguez - Banco de Sabadell SA: Yes, good afternoon. I have a question on raw materials lag on to your cost side. You've spoken about price lag, but as steel prices has picking up so well, and raw materials could go down in the last months, I suppose that could give you a (00:41:26) steel spreads for the second semester. I'm not sure if that's correct and well I would like to have a little bit more color on that side.
Aditya Mittal - ArcelorMittal SA: So I think it was a very good question. I think there is some raw material positive lag especially when it comes to iron ore, but we also seen consumable prices rise. Right. So when I look at consumables, I'm not just talking about the usual culprits, which is electrodes, ferro, alloys and things like that, but also electricity and energy which is moving upwards in the second half versus the first half. So I don't see the cost being very different first half versus second half.
Francisco Rodríguez - Banco de Sabadell SA: Okay. Thank you.
Lakshmi Niwas Mittal - ArcelorMittal SA: (00:42:23) no other question, I'd like to thank you all for your attention and interest. It is clear from the discussion on this call today that we remain on the right path to deliver sustainable long-term value for our shareholders. Our strategy is delivering. The industry backdrop has structurally improved. Our market trends are positive. And I believe ArcelorMittal has never been in a financially stronger position than we enjoy today. We remain committed to providing our customers with the solutions they demand and are focused on capitalizing on the opportunities that will help us to deliver further sustainable long-term value creation for our shareholders. Thank you, once again, and I wish you a safe and happy summer. Thank you.